Operator: Welcome to United Community Banks Third Quarter Earnings Call. Posting the call today are Chairman and CEO Jimmy Tallent; President and Chief Operating Officer Lynn Harton; Chief Financial Officer Rex Schuette; and Chief Credit Officer Rob Edwards. United's presentation today includes references to operating earnings, pretax, pre-credit earnings and other non-GAAP financial information. For these non-GAAP financial measures, United has provided a reconciliation to the corresponding GAAP financial measure in the financial highlights section of the earnings release as well as at the end of the investor presentation. Both are included on the website at ucbi.com. Copies of the third quarter's earnings release and investor presentation were filed this morning on Form 8-K with the SEC. And a replay of this call will be available in the Investor Relations section of the Company's website at ucbi.com. Please be aware that during this call forward-looking statements may be made by representatives of United. Any forward-looking statements should be considered in light of risks and uncertainties described on page 4 of the Company's 2016 Form 10-K as well as other information provided by the Company in its filings with the SEC and included on its website. And at this time I will turn the call over to Jimmy Tallent.
Jimmy Tallent: Good morning, everyone. And thank you for joining our third quarter earnings call. I am very pleased that our third quarter performance continued the strong momentum from the second quarter. For two consecutive quarters now, we have increased our linked quarter operating earnings per share at an annualized rate of more than 30% or $0.03 per share. That is a remarkable achievement by our bankers, who continue to excel by every measure. Our mortgage lenders set another production record, breaking the one they set in the second quarter and also achieved their highest quarterly revenue level. Another contributor to the earnings per share increased was the completion of our Tidelands acquisition on July 1. We expect to achieve the remaining targeted cost savings after systems conversion which are scheduled for mid-November. I'll talk more in a moment about our third quarter and the Tidelands acquisition, but first let me cover some additional highlights. Third quarter net income was $25.9 million or $0.36 per diluted share. Included in those results were pretax merger-related charges of $3.15 million or $0.03 per share. Excluding merger-related charges, net operating income was $27.8 million or $0.39 per diluted share. Our GAAP return on assets was 1%. Excluding merger-related charges, it was 1.08%, up 1 basis point from last quarter and 8 basis points from a year ago. Also excluding merger-related charges, our operating return on tangible common equity was 12.45%, up 89 basis points from the second quarter and up 216 basis points from a year ago. Our margin was 3.34%, down 1 basis point from the second quarter but up 8 basis points from the third quarter of 2015. Net loan growth excluding Tidelands was up $133 million from the second quarter which is 8.5% annualized. Third quarter loan production was $641 million. Our provision for credit losses was a negative $300,000, the same as the second quarter. Net loan charge-offs for the quarter were $1.4 million or 8 basis points. That compares to $1.7 million for the second quarter and $1.4 million for the third quarter of 2015. Our allowance to loans ratio was 94 basis points compared with 1.02% at the end of the second quarter. Our nonperforming assets to total assets was up slightly at 30 basis points due to OREO added by the Tidelands acquisition. The revenue was up $2.9 million from the second quarter with more than half of the increase coming from higher mortgage fees. And all of our capital ratios remained very strong. Now I will share some details from the third quarter. As you can see on page 13 of the investor presentation, pretax, pre-credit earnings were $44.5 million, up $2.95 million from the second quarter and up $9.28 million from a year ago. Please note that our linked quarter and year-over-year variances were impacted by the Tidelands and Palmetto acquisitions. Our net interest margin was down 1 basis point from the second quarter, mostly due to the lower yield on the loan portfolio. The margin increased 8 basis points from a year ago. Turning to loan growth and production, we grow loans by $133 million during the third quarter. That excludes Tidelands loans and represents an annualized growth rate of 8.5%. You will see on page 17 that our loan production remains strong at $641 million. Approximately $436 million was produced by our Community Banks and $166 million was from our specialized lending areas. Looking at the third quarter loan production by categories, nearly 60% was in our C&I and CRE portfolios. Commercial loans accounted for $389 million of total production. I want to point out that we were able to fund our loan growth with strong growth in core deposits. In the third quarter we grew our core transaction deposits, excluding Tidelands deposits, by $254 million or 19% annualized. With a $300,000 recovery, our provision for credit losses remains low by historical standards. This reflects the favorable credit trends that we also expect to continue through the remainder of 2016 and into 2017. Our allowance for loan losses was 94 basis points at quarter end, down from the 1.02% last quarter but still above our peers. The decrease reflects the addition of Tidelands' loan portfolio which is recorded at fair value and is reduced by a discount for estimated credit losses. As of September 30 our allowance for loan losses was $63 million. Not reflected in that amount is the $29.5 million of remaining unaccreted discounts on $1 billion of acquired loans including those of Tidelands. While on the subject of credit quality, I want to point out that OREO was up $3 million from the second quarter and that was due entirely to the Tidelands acquisition. We did make great progress disposing of properties during the third quarter and we have another $3 million under contract and expected to close before year end. You will find the trends in fee revenue on pages 13 and 16. Our fee revenue businesses generated $26.4 million in the third quarter. That's up $2.9 million from the record set in the second quarter. Our mortgage business surpassed its own record which was set just a quarter ago, with a $1.6 million linked quarter revenue increase. We closed $194 million of mortgage loans in the third quarter, up from $182 million in the second quarter. Our pipeline is strong with $256 million in rate lots in the third quarter, up from $206 million in the second quarter. Total service charges and fees on deposit accounts were up $304,000 from the second quarter with about half of the increase coming from the Tidelands acquisition. Turning to our SBA business, gains from sales of SBA loans totaled $2.5 million in the third quarter compared with $2.8 million in the second quarter and $1.6 million a year ago. We closed $39 million in SBA loan commitments in the third quarter which contributed to the $37 million in funded loans while selling $32 million in guaranteed loans. By comparison, in the second quarter we closed $41 million of loan commitments, funded $34 million in balances and sold $33 million of guaranteed loans. Our customer derivative business generated $1.4 million in fee revenue in the third quarter. This was up $364,000 from the second quarter and up $1 million from a year ago. All in and across all products we had a strong quarter for fee revenue growth. Third quarter fee revenue was 25% of total revenue, up from 22% a year ago. I am very pleased with our progress in further diversifying and growing our revenue stream. Expenses are on page 13. They include merger-related charges of $3.2 million in the third quarter. Excluding these charges, operating expenses were $60.9 million and up $4 million from last quarter. The inclusion of Tidelands' $2.8 million in operating expense accounted for 70% of the linked quarter increase in expenses. The balance of the increase was primarily due to our salary cost for commissions and incentives related to truing up our quarter and year to date for performance targets. As for the $12.4 million expense increase from a year ago, most of the increase was due to the inclusion of Tidelands and Palmetto Bank's operating expenses. You will recall that we acquired Palmetto Bank on September 1, 2015. On page 38 we have included a reconciliation of operating expenses to GAAP expenses. Our operating efficiency held steady at 57.8% in the third quarter. We expect some improvement in our efficiency ratio following the Tidelands systems conversions in November. Before I open the call to questions I want to make a few additional comments. First, we recently made two very important additions to our Board of Directors. In August we announced that David Shaver and David Wilkins were appointed to our Board. David Shaver is a CPA and the Founder and CEO of Cost Segregation Advisors, national income tax advisory services company in Atlanta. He was an initial partner with Tatum Partners, now a division of Randstad. He was CFO and an active partner of International Automotive Corporation and served as Controller for The Home Depot company. David will provide valuable financial and strategic expertise on our Audit Committee. The second Board member we added is David Wilkins. David is a partner of Nelson Mullins Ryland & Scarborough in Greenville, South Carolina. David served as United States Ambassador to Canada from 2005 two 2009 and served for 25 years in the South Carolina House of Representatives, including 11 years as Speaker. He has also served on a number of boards and currently chairs the George W. Bush Institute's North America Competitiveness Working Group. David will serve on our Board's Risk Committee. Both of our new Board members are highly qualified and we're honored to have them join us. The last two quarters are a great example of the capability and commitment of our banking team. They have driven strong loan and fee revenue growth, all while controlling expenses. This is reflected in our operating earnings per share growth and the improvements in our operating return on assets and operating return on tangible equity. The investments we have made and continue to make in revenue producers and in new markets are benefiting our performance and our bottom line. A recent investment that I mentioned last quarter is a team of lenders specializing in senior living businesses. This group has already generated solid loan production. In terms of markets, our acquisition strategy has put us in additional high-growth markets with outstanding potential. A prime example of this is our expansion into coastal South Carolina with their acquisition of Tidelands Bank. You may recall that we entered coastal South Carolina a year ago with a team of experienced lenders in the Charleston market. In one year that team has built up $127 million loan portfolio. Now, with the Tidelands acquisition, we have the platform to expand faster and further in the coastal South Carolina market with exceptional growth prospects. Last quarter I mentioned that we repurchased 764,000 shares during the last week of the second quarter and early in the third quarter. The average price was $17.85 per share, for a total purchase of $13.6 million. We will continue to be opportunistic in our buyback program. The Tidelands acquisition, investments in revenue producers and share repurchases -- have had an immediate and meaningful accretive impact on earnings per share and have accelerated our momentum. Combined and backed by the exceptional customer service of our banking team, they produced the third quarter's strong financial performance. This includes our 1.08% ROA which equates to a pretax, pre-provision ROA of 1.74%, our 12.45% operating return on tangible common equity, our operating efficiency ratio of 57.8% and our 33% annualized linked quarter increase in operating earnings per share to $0.39. As I mentioned last quarter, our deferred tax asset gives us a distinct capital advantage by allowing us to build regulatory capital based on pretax dollars. This DTA capital advantage allowed us to complete the Tidelands acquisition without issuing any stock and at the same time repurchased 764,000 shares, all while maintaining solid capital ratios. Included in our deferred taxes at quarter end is $113 million of net operating loss carryforwards that we will utilize over the next three years. Now for a brief update on our outlook -- we expect loan growth and deposit growth to continue in the mid to high single digit range. Our interest sensitivity position remains close to neutral, so we're in a good position to manage uncertainty in this interest-rate environment. Our expectation for the near term is that the favorable trends in credit quality will continue and our provision for credit losses will remain low by historical standards. However, we're approaching an inflection point where loan growth, when combined with stable credit quality, will require us to return to a more normalized provision for credit losses. We believe that inflection point will occur in 2017 with gradually increasing provisions throughout the year. We expect continued growth in our mortgage business as we add new originators and we expect our SBA business to also drive further growth in fee revenue. We believe we can hold growth rates and expenses below the growth rate in revenue, thereby maintaining positive operating leverage with the operating efficiency ratio in the sub 58% range. Our third quarter results also confirm our optimism about achieving our goal of 110 ROA in the fourth quarter. Our bankers have once again proven that they can serve their customers with the highest level of service and, at the same time, deliver outstanding financial results. I could not be more proud to be a member of their team. Now we will be glad to answer your questions.
Operator: [Operator Instructions]. And our first question comes from Michael Rose from Raymond James. Your line is open.
Michael Rose: I wanted to dig into the expenses a little bit. I know it's a little tricky with the acquisition coming on. And obviously the systems conversion, you said, is going to occur in November. How should we think about this quarter's level with cost saves as kind of a run rate? Would you actually expect fourth quarter expenses to be lower than the third quarter?
Rex Schuette: Yes, Michael. Rex here. There's probably two components of it when you look at it. As Jim indicated, when you look at our expenses excluding merger charges, they were $60.9 million for the quarter. Of that, approximately $2.8 million was Tidelands. So basically we're at $58.1 million compared to last quarter. We're up basically about $1.2 million-$1.3 million on a linked quarter basis. Underneath that we did have some true up in the quarter related to performance-related items. And most of that is coming from the salary and benefit line. When you look at that line on a linked quarter basis, we're up $2.9 million. And of that, roughly $1.5 million relates to Tidelands. So we're up about $1.4 million in the salary component. And within the salary component, there's probably two key items in there that relates to the performance we accrue each quarter, somewhat at a higher amount as we get closer to performance goals at the end of the year. So within there, there's bonus and equity component that's about $600,000 this quarter that won't reoccur next quarter, so that will come down next quarter. And again, there's another $400,000 of hiring and severance costs that we incurred in the quarter we don't expect in the fourth quarter run rates. So those two is about $1 million coming out of the salary line. The other component that relates to Tidelands with respect to cost saves and again, with the conversion in November most of that cost saves will come out starting in the first quarter of 2017, but we have realized some of the benefit already. As we talked about the merger last quarter when we announced it, we estimated about $5 million of cost savings out of Tidelands' $14 million of annualized cost. Of that, that's about 35% savings. And again, through the first and second half of this year we will save about 30% of that number this year with about 70% or $900,000 a quarter coming, starting in the first quarter of next year. So there's probably another $200,000 or $300,000 that will come in Q4 on a linked quarter basis, Michael, on that. So in combination there's probably $1.3 million or so in run rate that we would expect to come down in the fourth quarter on our operating expenses.
Michael Rose: If I heard correctly it sounds like maybe you don't anticipate a ton of efficiency improvement in the fourth quarter but as those cost saves are more fully realized and you get the operating leverage next year then you would expect that efficiency ratio to come down. Do you have an initial target for 2017?
Rex Schuette: As far as the efficiency ratio or as far as--
Michael Rose: The efficiency ratio, yes.
Rex Schuette: Yes; I think the efficiency ratio -- our target is, again, to continue to control expenses in 2017. And we would expect that to be, again, sub 58% throughout the year. And as you noted, the bulk of the savings on Tideland is coming in the first quarter. So we will see the benefit of that, but the first quarter also has payroll taxes, other stuff coming in that you have normal coming in, on a seasonal basis, in the first quarter, but we're targeting to be below 58% for next year.
Operator: Our next question comes from Tyler Stafford from Stephens. Your line is open.
Tyler Stafford: I wanted to start on the provision outlook that you gave and just a clarity question. You mentioned, Jimmy, the provisioning reaching an inflection point in 2017. I guess I wanted to put that in relation with the outlook that you provided in the press release. So should we see both the dollar of the reserve and the ratio of the reserve decline next year?
Jimmy Tallent: Tyler, let me ask Rob to comment on the reserve, please.
Rob Edwards: Tyler, really we would expect -- I would not expect the dollar to end up, at the end of next year, the dollar amount of the allowance, below the dollar amount of the allowance this year. In terms of anticipation, we're assuming for next year, like Jimmy said, that loan growth remains stable and asset quality remains stable. And of course, we're continuing to rebuild the portfolio with some middle-market and senior living. And as those products come on, they have a different -- the portfolio mix ends up playing a role in how the allowance is calculated. And so for next year we really do anticipate a trajectory of provisioning that would be into $6 million to $8 million range.
Tyler Stafford: Maybe going over to fee income, I know, Jimmy, I believe last quarter you talked about potentially seeing a big step up in SBA in the fourth quarter as construction projects finished and are sold. Would you still expect to see a nice step up next quarter?
Lynn Harton: This is Lynn. Yes, the fourth quarter is generally a strong quarter for SBA. This was a strong quarter as well, if you think about we're 42% in production over this time last year, a little down from the second quarter. But that was really moving. We had some construction loans that moved from the first quarter into the second. So we're on a good, nice, solid trajectory up and we would expect another good increase in the fourth quarter.
Tyler Stafford: And maybe just last one for me -- do you have the accretion impact on the loan yields this quarter? And of the $29 million remaining, any rough estimate of the schedule accretion we could expect to see next year?
Rex Schuette: Well, the current quarter did pick up a little bit from last quarter. It was roughly $900,000 of accretion income coming in this quarter, compared to roughly $500,000 last quarter. So that's about two basis points both in the margin and yield. And we probably expect that run rate to continue going forward. It will decrease as you continue to go up, but somewhere in that range.
Tyler Stafford: Somewhere in that $900,000 per quarter range?
Rex Schuette: Right.
Operator: Our next question comes from Christopher Marinac from FIG Partners. Your line is open.
Christopher Marinac: I was curious if the SBA margin that you are receiving this quarter and last quarter -- is that something that you expect to be stable? Or would that evolve at all in the next couple of quarters?
Jimmy Tallent: Yes; right now we're anticipating it to be stable. It's been very stable the last couple of quarters. You remember at the end of last year there was a little disruption. We're not anticipating that this year, but we're selling as early in the quarter as we can to avoid that.
Christopher Marinac: When we see the split on the types of loans that grew this quarter, should we expect or should you expect to still see the same CRE and builder finance components in Q4 and Q1? I was just curious if there was anything unusual happening this quarter.
Jimmy Tallent: The only thing unusual this quarter is you got to remember Tidelands came in. And so that mix -- Rob, I don't know exactly how much that was in the income property.
Rob Edwards: Yes, it's about $120 million.
Jimmy Tallent: So that's a piece of it. And another piece of it is the construction fundings going in. Now commitments on CRE, particularly, for example, in multifamily -- our commitments are actually flat quarter to quarter. But our outstandings are up reasonably well. So some of that is just maturing through the pipeline.
Christopher Marinac: And then last question -- when you show us the $300 million of acquired loans in the slide presentation, is the rest of the portfolio all now not acquired in terms of the old Palmetto turning over? Or is there still some acquired piece from prior acquisitions that -- as you define it internally?
Rex Schuette: Yes, there is. There's a little over $1 billion still in the purchase loans that we have on the books. As they turn over and renew, they will come out of that category and end up in our normal portfolio. But a little over $1 billion still, including Tidelands, right now.
Operator: Our next question comes from Jefferson Harralson from KBW. Your line is open.
Jefferson Harralson: Can I start by asking about the senior living business and the type of growth you expect to get out of it, types of projects you are doing and just the nature of what you expect that business to be?
Jimmy Tallent: Sure. So it is primarily construction, so construction and stabilization of new projects with very strong developers, very strong underwriting characteristics, typically 30% to 35% equity at a minimum, developers that have been in the business a long time -- developers, frankly, that our team have banked four years as well, all in the Southeast either in our markets or in contiguous states, for the most part. There may be one or two from a customer perspective that we would consider going out of market, but right now that's what we're doing. There are occasionally -- so we have approved some, if you look at the production you see not much production in the sense of advances. And that's because they are construction loans and funding up, so our commitments are much larger. We also have approved several existing refinances. The typical project size is $5 million to $15 million. So it's -- and we would expect easily to do -- once up and going we would expect $75 million to $100 million a year in production out of the group pretty easily.
Jefferson Harralson: This could be a Jimmy one but maybe both of you guys. The big-picture question, you've hit your -- almost hit, anyway, your $0.01 ROA. You've reestablished the growth rate. M&A is now part of the plan. And it's not really -- well, most banks are going to be giving 2017 guidance next quarter, so I'm not really talking about guidance. But how are you guys thinking from here? Is this a time to try to maintain profitability and grow? Is it an opportunity possibly, with the mortgage growing and possibly the SBA, to improve the ROA from here? But how are we thinking, big picture, about UCBI strategically right now?
Jimmy Tallent: I guess it would be kind of steady as we go. Obviously, we're in the middle of our budgeting process now for 2017. Assuming we achieve them the 110 Q4 of this year which we're highly optimistic, that would put us at a 106 ROA for 2016. Next year, of course, there will be some provisioning in our allowance. But with our loan growth, our growth in the fee revenue -- because we have made significant investments in both of these categories -- coupled with very tight expense management, we would expect that we would continue in a similar range, maybe a little bit above. But we're very optimistic as we continue to move forward, certainly, given over the past 2 to 3 years cost reductions reinvest in revenue generation, coupled with the infrastructure passing the $10 billion. So we feel good about where we're.
Jefferson Harralson: And then last one, what are the major projects underway right now, if any, on crossing over $10 billion? You did cross over $10 billion this quarter, I think. What happens next, now that you are over $10 billion, besides the Durbin that we know about?
Jimmy Tallent: So the $10 billion -- if we go back and visit that in and of itself, we have been making investments in people and processes and model validations and systems and so forth, really for two or three years. So the compliance -- we've doubled the staff in the BSA and CRA and so forth. And we feel good about where we're, relative to compliance. So there's no big investments there to come. And then, of course, the ERM area along with the DFAST -- same story there. It could be a little more incremental cost but there's no large investment to be made in the ERM or the DFAST. So, for the most part, we believe that that cost is already in our run rate. When you look at that aspect of it along -- again, as a reminder, the investments that we've made in our lending teams and certainly in our fee revenue investments over the past few quarters. So we feel like we've got the structure or the infrastructure in place. Certainly, we believe in the revenue generation in place as well. So now we're at $10 billion. So what's next? Well, the costs are pretty well baked into the run rate. If we just look at organically, this time next year just on a pure organic basis, Jefferson, we should be, let's say, $11 billion. That tracks our growth over the past couple of years. So we will continue to see that organic engine kick in. And then, of course, the last piece of that is the acquisition piece, where we, I think, have demonstrated over the last couple of years the three acquisitions that were very accretive, hit in the markets that we had designated. So, we believe we will probably be in a position to continue that, assuming the right opportunity comes along. And really, if you take that another step forward, so the infrastructure and cost, run rates basically in place, we believe we've got the revenue engine fine-tuned. So then, if you take -- in my simple math, if you take just $1 billion of acquisitions, whether that's one bank, two banks, three banks and if you look at that again hitting all of our thresholds -- EPS accretion, tangible book, earn back, risk, all of those kind of things -- generally speaking, those banks have an efficiency ratio of 65% or greater. As we have acquired banks, we basically take somewhere between 35% to 45% costs out. So that bank then becomes -- has an efficiency maybe in the high 30s up to maybe 40%. Therefore, that produces very nice positive operating leverage. That's the way we look at that. That's what we would expect would occur throughout 2017.
Operator: Our next question comes from Nancy Bush from NAB Research. Your line is open.
Nancy Bush: Just as an add-on to Jefferson's question, one of your regional competitors last week, who has also recently crossed the $10 billion line, has moved the bar and just said we see maximum scale profitability, etc., in this $15 billion-$25 billion range. Now, I don't know if that was a totally opportunistic statement. Do you have any reflections on that?
Jimmy Tallent: Well, Nancy, I think certainly scale is important, because at the $10 billion level you have already built in a sizable cost and infrastructure from the enterprise risk management and compliance. And my point in response to Jefferson was that if we look at it on just an organic basis, we would be adding $800 million-$1 billion a year in that fashion. The second would be in the acquisition, assuming those opportunities do come along. So yes, scale is important. Honestly, I don't know that the magic number is $15 billion or $20 billion. I do know that we continue to add incrementally as we execute our plan. I would say that at least our view is that one large transaction is not necessarily the answer to crossing the $10 billion. Early on it was viewed as that was the way to do that. We take a little bit different view of that. We think that the risk in doing the $500 million, the $2 billion deals are much lower and you can drive execution without disrupting the culture which is really the bedrock of any company and particularly ours. So that would be some of my thoughts.
Nancy Bush: Okay. And I would just ask, as an aside to that -- there are several of your regional competitors that have, in the past, said they are not interested in being in the Atlanta market, due to the competitive issues, the wackiness of the market. All of a sudden that has changed. It seems like there are at least two banks and maybe more that were not thinking about Atlanta before and are thinking about Atlanta now. Can you just add some color to that? You are in the metro area. Do you want to get bigger in metro Atlanta? Just how do you look at the market?
Jimmy Tallent: Well, obviously Atlanta is a very big market. And it really goes back to the basics about people. Okay? And you have to have the right bankers in those markets that will attract that customer base, that will draw that to -- to United. So the answer is yes, we would like to continue to grow. Matter of fact, 30% of the Company's footprint is in the Atlanta MSA today. We have stated a number of times that, particularly on the north side which so much of that growth is centered, we would like more density there. And I think, too, Atlanta probably took a little longer in coming back from the recession than possibly was viewed earlier on. Maybe that is what has opened up the interest in coming to Atlanta. But our advantage that we believe is that we can continue to attract really good bankers and we've done that for decades; opportunities to have other banks to join up with us; and our business model really bodes very well for the bankers and the customers. Treating our customers the way we want to be treated with large bank resources -- that's a pretty strong competitive advantage.
Operator: Our next question comes from Jennifer Demba from SunTrust. Your line is open.
Jennifer Demba: Jimmy, what are your plans around branching over the next couple of years, whether it be rationalizing or adding anything in South Carolina you think you might need?
Lynn Harton: Yes. Well, Jennifer, we do not have any plans to build de novo branches. We're looking at branch rationalization as part of a normal process and we would likely do some of that. But we're still -- we're like most people; we think there are too many branches in the world and the best way to do it is through acquisitions and bringing those into the fold. We're in the process of rolling out -- we already had a great mobile and digital platform, but we're rolling out a new, improved one as we speak. So the branches are a key part of who we're. But we don't see, really, adding de novo builds at this point.
Jimmy Tallent: And Jennifer, maybe just a little add-on to what Lynn said -- I think if you look at our acquisition in Tennessee a couple years ago, when he's talking about rationalization of branches which was just spot-on, obviously there was duplication in those markets with United as well as the acquired bank. And in essence, we took 10 and consolidated. So that produced a very effective cost savings, but it also positioned us, we believe, in markets or certainly in traffic areas that were superior than where we were previously.
Operator: I'm showing no further questions from our phone lines. I would now like to turn the conference back over to Jimmy Tallent for any closing remarks.
Jimmy Tallent: Thank you, Operator. And thank all of you for being on the call and your interest in United Community Banks. Certainly, any additional questions, don't hesitate to reach out to any of us for those. And also, too, I want to take just a moment to once again recognize our teammates throughout this Company and thanking them for their continued effort of taking our Company and maintaining the brand of customer service but also capturing the financial results our shareholders deserve. Thank all of you and have a great day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a wonderful day.